Operator: Good morning, and welcome to FNF’s Third Quarter Earnings Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions with instructions to follow at that time. I would now like to turn the call over to Lisa Foxworthy-Parker, SVP, Investor and External Relations. Please go ahead.
Lisa Foxworthy-Parker: Great. Thanks, operator, and welcome, everyone. Joining me today are Mike Nolan, Chief Executive Officer; and Tony Park, Chief Financial Officer. We look forward to addressing your questions following our prepared remarks. Chris Blunt, F&G’s CEO; and Wendy Young, F&G’s CFO, will join us for the Q&A portion of today’s call. Today’s earnings call may include forward-looking statements and projections under the Private Securities Litigation Reform Act, which do not guarantee future events or performance. We do not undertake any duty to revise or update such statements to reflect new information, subsequent events or changes in strategy. Please refer to our most recent quarterly and annual reports and other SEC filings for details on important factors that could cause actual results to differ materially from those expressed or implied. This morning’s discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. Non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules within our earnings materials available on our website at fnf.com. Today’s call is being recorded and a webcast replay will be available on our website. And now I’ll turn the call over to our CEO, Mike Nolan.
Mike Nolan: Thank you, Lisa, and good morning. We are pleased to report another strong set of results for the third quarter. I’d like to start by thanking our employees as we work together through this challenging real estate cycle while continuing to deliver industry-leading performance. I would also like to acknowledge the incredible response to the two major hurricanes that made landfall in recent weeks, impacting several south eastern states. I am grateful for the unwavering dedication and resilience demonstrated by our people and first responders throughout these storms and want to extend our heartfelt thoughts to all those who have been affected by these natural disasters. Now turning to our third quarter results. Our title business continues to successfully navigate the low transactional environment having delivered adjusted pre-tax earnings of $323 million in an industry-leading adjusted pre-tax title margin of 15.9%, as compared to 16.2% in the third quarter of 2023. These are outstanding results given the environment. For the third quarter, we continue to see normal seasonality with daily purchase opened orders showing an 8% sequential decline from the second quarter. Within the quarter’s results, however, we saw daily purchase orders opened in September higher than August. This is atypical and due to decline in rates, and we believe is indicative of the pent-up demand for housing. Refinance volumes have been responsive as 30-year mortgage rates decreased by over 75 basis points during the third quarter. This generated an average increase in refinance orders opened to $1,400 per day in the third quarter, with July at $1,100, August at $1,400 and September at $1,800. With the increase in mortgage rates in October, we saw refinance orders opened to back down to $1,500 per day reflecting how refinance volumes can change with moves in rates. Commercial volumes continue to be steady and resilient. We generated direct commercial revenue of $801 million in the first nine months, trending in line with the $1 billion annual revenue level that we delivered in 2015 through 2020 and in 2023. Asset classes have remained very consistent as well. Looking ahead to 2025, we see the potential for higher commercial volumes as the office sector begins to transact and expect continued strength in the industrial, multifamily and energy sectors, among others. Looking at third quarter volumes more closely. Daily purchase orders opened were up 1% over the third quarter of 2023, down 8% from the second quarter of 2024 and up 5% for the month of October versus the prior year. Our refinance orders opened per day were up 46% over the third quarter of 2023, up 35% over the second quarter of 2024, and up 51% for the month of October versus the prior year. Our total commercial orders opened were $794 per day, up 2% over the third quarter of 2023, down 1% from the second quarter of 2024 and up 8% for the month of October versus the prior year. Overall, total orders opened averaged $5,500 per day in the third quarter with July at $5,200, August at $5,300 and September at $6,000. For the month of October, total orders opened were $5,200 per day, down 13% versus September. Notably, our adjusted pre-tax title margin of 14.5% for the first nine months of 2024 is in line with the 14.3% margin for the first nine months of 2023. As a reminder, for the full year 2023, our pre-tax title margin was 13.7%, which was an outstanding result in light of the persistent housing market downturn. We would expect the normal seasonal purchase falloff for the remainder of 2024 if mortgage rates remain at current levels. If mortgage rates move lower next year, we are poised to capture the upside from higher transactional volumes given the scale and efficiencies of our diversified national footprint. On an annual basis, we view the range for a normalized adjusted pre-tax title margin of 15% to 20% as a good rule of thumb, although we are not in a normal market due to the low residential purchase and refinance volumes. We firmly believe in the long-term value of the title insurance business regardless of the cyclical nature of the real estate market. Despite the challenging market, we have continued to invest in our business, actively recruiting talent to drive revenue, making strategic acquisitions and investing in technology, all while maintaining industry-leading margins. Our technology initiatives are a key focus for investment and deployment across our operational footprint. We continue to build on our pioneering work over the last decade in instant decisioning and automated underwriting, without diminishing the coverage or value of our insurance product. At the same time, we are enhancing our customer experience throughout the transaction, while giving special attention to mitigating risk and fraud. SoftPro now powers all of our direct residential operations and is integrated into our proprietary inHere Experience Platform. inHere continues to be a vital expanding resource for our customers. We had over one million real estate professionals and consumers use inHere in 2023, and we are well ahead of that level so far this year. On the AI front, our high-quality curated data and single platform have allowed us to standardize, automate and use machine learning AI tools in many aspects of our business over the last 15 years. In turn, this has reduced the cost and time lines of the title search and exam process while preserving the coverage and value of our insurance product. Looking ahead, we are investing in further innovation with generative AI tools, exploring their potential to enhance various aspects of our business, including the title and settlement processes. Turning now to our F&G business, F&G has profitably grown assets under management before flow reinsurance to a record $62.9 billion at the end of the third quarter. F&G is well positioned for continued growth through its diversified new business platform and benefits from expanding profitability as its in-force book continues to scale. F&G is also executing on its accretive flow reinsurance and owned distribution strategies, which are contributing to margin expansion and improved returns. Tony will provide additional details in a few moments. FNF benefits from its majority ownership of F&G through its share of F&G’s durable and growing earnings, cash dividend streams and recognition of the value of F&G’s market capitalization, which has increased from $2.9 billion at the time of the partial spin-off in December of 2022, to $5.6 billion at September 30 on a stand-alone basis. With that, let me now turn the call over to Tony to review FNF’s third quarter financial performance and provide additional highlights.
Tony Park: Thank you, Mike. Starting with our consolidated results, we generated $3.6 billion in total revenue in the third quarter. Excluding net recognized gains and losses, our total revenue was $3.3 billion as compared with $3.1 billion in the third quarter of 2023. We reported third quarter net earnings of $266 million, including net recognized gains of $269 million versus $426 million, including $356 million of net recognized losses in the third quarter of 2023. The net recognized gains and losses in each period are primarily due to mark-to-market accounting treatment of equity and preferred stock securities, whether the securities were disposed off, in the quarter or continued to be held in our investment portfolio. Adjusted net earnings were $356 million or $1.30 per diluted share, compared with $333 million or $1.23 per share for the third quarter of 2023. The Title Segment contributed $244 million; the F&G Segment contributed $135 million; and the Corporate Segment contributed $3 million before eliminating $26 million of dividend income from F&G in the consolidated financial statements. Turning to the third quarter financial highlights specific to the Title Segment. Our Title Segment generated $2 billion in total revenue in the third quarter, excluding net recognized gains of $63 million compared with $1.9 billion in the third quarter of 2023. Direct premiums increased 9% versus the prior year, agency premiums increased 8%, and escrow title related and other fees increased 1%. Personnel costs increased 5% and other operating expenses increased 5%. All in, the Title business generated adjusted pretax Title earnings of $323 million compared with $311 million for the third quarter of 2023 and a 15.9% adjusted pretax title margin for the quarter versus 16.2% in the prior year quarter. Our Title and Corporate investment portfolio totaled $5 billion at September 30. Interest and investment income in the Title and Corporate segments was $103 million, a modest decline from the prior year quarter and excluding income from F&G dividends to the holding company. Looking ahead, we expect quarterly interest and investment income to trend down from the $103 million in Q3, to around $95 million in Q4 and to $85 million in Q3 of 2025, assuming anticipated Fed funds rate cuts of 100 basis points over the next nine months. As a rule of thumb and all else being equal, every 25 basis point decrease in Fed funds is expected to result in an approximate $15 million annualized decline in interest and investment income. In addition, we expect over $100 million of annual dividend income from F&G to the Corporate segment. This cash return reflects approximately 85% of F&G’s common dividend, given our majority ownership stake and 100% of F&G’s preferred dividend on the mandatory convertible preferred stock issued to FNF in January 2024. Our Title claims paid of $64 million were $3 million higher than our provision of $61 million for the third quarter. The carried reserve for title claim losses is approximately $29 million or 2% above the actuary central estimate. We continue to provide for title claims at 4.5% of total title premiums. Next, turning to financial highlights specific to the F&G segment. Since F&G hosted its earnings call earlier this morning and provided a thorough update, I will recap a few key highlights for the quarter. F&G delivered strong gross sales of $3.9 billion in the third quarter, up 39% over the prior year quarter. Retail sales were a record $3.5 billion, nearly double the prior year quarter. F&G’s retail sales continued to surge driven by favorable market conditions and strong demand for retirement savings products, benefiting from a significant demographic trend with a long tail as consumers want to secure the relatively higher rates, guaranteed tax deferred growth and principal protection that annuities provide. Pension risk transfer sales were over $300 million in the third quarter. F&G’s net sales were $2.4 billion in the third quarter, up 4% over the prior year quarter. F&G has profitably grown its AUM before flow reinsurance to a record $62.9 billion, including retained assets under management of $52.5 billion at the end of the third quarter. Adjusted net earnings for the F&G segment were $135 million in the third quarter. This includes alternative investment returns below our long-term expectations by $35 million or $0.13 per share and significant income items of $16 million or $0.06 per share. To bring it all together, FNF’s consolidated adjusted net earnings, excluding significant items in the F&G segment were $375 million or $1.37 per diluted share in the third quarter. The combined businesses are performing as expected. F&G gives stability to our earnings regardless of whether rates are rising or falling, providing an important complement to our cyclical title business. The F&G segment contributed 39% of FNF’s adjusted net earnings for the first nine months of 2024, up from 29% for the first nine months of 2023. From a capital and liquidity perspective, we are maintaining a strong balance sheet and ensuring a balanced capital allocation strategy as we navigate the current environment. We held $822 million in cash and short-term liquid investments at the holding company level at September 30. This is up $126 million compared to the sequential quarter despite the low volumes in the title business. Our consolidated debt outstanding was $4.2 billion at September 30. In early October, F&G issued $500 million of senior notes, and net proceeds have been used to fully pay down its $365 million revolver balance with the remainder to be used for general corporate purposes. Our consolidated debt to capitalization ratio, excluding AOCI, remains in line with our long-term target range of 20% to 30%, and we expect that our balance sheet will naturally delever as shareholders’ equity excluding AOCI grows. Our primary capital allocation priorities support our now $550 million annual dividend commitment, modest $80 million annual interest expense at the holding company level and $200 million to $300 million average annual strategic title acquisition spend in support of the long-term growth of the business. Given the continued uncertainty in the market, there were no share repurchases in the third quarter. We will continue to monitor and expect to resume buybacks once both the title market picks up and we see our cash generation building above the level of our annual dividend, interest expense and acquisition spend. As a reminder, buybacks are subject to Board approval. This concludes our prepared remarks, and let me now turn the call back to our operator for questions.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] The first question is from John Campbell with Stephens. Please go ahead.
John Campbell: Hey guys, good morning.
Mike Nolan: Good morning.
John Campbell: Good morning. On the total pretax margin for the quarter, it looks like direct and agency kind of grew at the same rate. You had investment income that was kind of flat year-over-year. So it doesn’t seem like there’s really any mix shift changes to call out. It looks like the underlying incremental margin was about, I think, about 10% or 11%. You guys have closely run at probably 30% to 40% in the past. Is there anything you’d call out as far as limiting factors?
Mike Nolan: John, it’s Mike. I mean, in terms of comparing to the third quarter of last year, we actually had a bit of outperformance in both direct and agency to the third quarter. We had a 30-point difference in margin to actual third quarter last year. That’s about $6 million difference. So when you think about $2 billion in revenue, that’s not much of a difference. But we did see in some of our non-title businesses in the Title segment, slightly below performance in the third quarter, not that the performance was not good. It was just a little bit better last year. So really, my takeaway is we had outperformance both in national commercial and agency. Of course, the agency comes with a lower margin. So that can also – you can get more agency revenue, and that’s a good thing, but you could have lower margins because of the other things being equal.
Tony Park: Yes. That’s a very good point. It’s – if you look at the incremental margin, we talked about that 40% or whatever it is, that’s on direct revenue on our direct operations. So actually, if we do better on the agency side, as you know, because so much goes back to the agent that incremental margins on agency business is probably somewhere in the 10% range.
John Campbell: Okay. Got it. And then it was encouraging to hear your kind of upbeat outlook for Commercial. I guess based on the pipeline you see now, and it does seem like that the fee per file helped you a little bit in this quarter. But based on what you see now, maybe some commentary on what you expect as far as super file in Commercial in 4Q? And then as you think about next year, again, going back to your bullish take, do you think that’s – that the Commercial growth was more likely to be driven by orders or overall fee per file?
Mike Nolan: Yes, it’s a great question, John. It’s Mike again. We are encouraged by commercial for a number of reasons. One, we just continue to see strength in various asset classes and are generating somewhere around $1 billion to $1.1 billion in annual commercial direct revenues really without much of an office market. So as that market begins to transact, and we think it will, it’s a matter of when we see that as a net positive. When we look at our orders through September, our open orders are up about 4%, but our national orders are up 10% through September. And in October, our national orders were up 16% over last October. So we’re seeing this real strength in the bigger deals, right? And when you look at national fee per file, it was in excess of – it was 14.5% in the third quarter and local was around 9%. So I think that bodes well for not only the fourth quarter, but really into next year that we’ve got a nice inventory of these bigger transactions and still have local kind of flattish to last year.
John Campbell: Makes sense. Thanks, guys.
Mike Nolan: Thanks.
Operator: Thank you. The next question is from Mark Hughes with Truist Securities. Please go ahead.
Mark Hughes: Yes, thank you. Good morning. The October commercial number you gave up what, 8% year-over-year. I think when you were describing the progression on a monthly basis, it seems like it was a little down from September kind of steady with earlier in the quarter. Was October kind of an easy comp year-over-year? Or is that kind of up to start out 4Q, do you think that will be sustained if current trends hold?
Mike Nolan: Yes. Last October, – we opened 731 a day, and that was down from September at 786. And so I don’t know if you call it an easy comprehend, but we typically see Mark, I think you know fall off in open orders in the fourth quarter in commercial and then we see more closings. The closing rate gets a little bit higher. This October, it didn’t fall off as much as last year. And so I think that’s a net positive. I think it shows strength in the open order activity in commercial. And again, pointing out that the national commercial orders were up more significantly in October. And I think that helped create that 8% overall increase as well.
Mark Hughes: Yes. When we think about the – I think you gave a number $1.37 in overall earnings ex the other items, I think you called out maybe $0.06 perhaps. Did I hear that properly? And then – the – I think you said at F&G, they were $0.13 below expectations on some of the alt portfolio, I guess, if that had been in line, would you add the $0.13 to the $1.37. Is that the right progression there?
Tony Park: Yes. You’re right about the $1.37. That adjusts basically for the alts that – at F&G that were a little short of the long-term expectation. And then the other significant items and there are various things that go into that bucket, although it wasn’t a very big number, those go the other direction. So when you add back the alt underperformance – slight underperformance and then you reverse out the other, that’s where you get to the $1.37, if that makes sense.
Mark Hughes: Okay. Yes, I do see that. And then on F&G, just sort of curious, I missed the earlier call, the outlook for sales and spreads. Just kind of a quick thoughts in that business would be helpful.
Chris Blunt: Sure. This is Chris. Yes. New sales continue to be quite robust. Some of that is this great refinancing that we’ve talked about before people exchanging policies written when rates were 2% to new policies today. And we’ve been getting more than our fair share of that, which has been good. Some of it is just the long-term demographics that are taking place. And so yes, we’re still quite optimistic in terms of sales growth. So we don’t see anything slowing us down there. And spreads have held up nicely, and we’ve got expansion coming from flow reinsurance, owned distribution activity is kicking in. So I know the trend lines are quite good.
Mark Hughes: Thank you for that.
Operator: Thank, you. The next question comes from Mark DeVries with Deutsche Bank. Please go ahead.
Mark DeVries: Yes, thanks. Just a follow-up on the Commercial, Mike, I think you alluded to at least some optimism that office is starting to transact. Are you actually seeing that in the pipeline? Or is it just either in terms of transactions already or activity picking up? Or is that built more on just kind of an expectation that things are loosening up and should accelerate in 2025?
Mike Nolan: I think it’s based on a couple of things, Mark. We’re seeing some transactions, but I would say not a trend more on the margin. So we’ve seen evidence that we’re starting to see some transactions, and then based on what we’re hearing from our commercial leadership team who are talking to customers and clients that there’s an expectation that there could be more activity as we go into 2025.
Mark DeVries: Okay. Got it. And then a question for Chris. I think in the press release as you alluded to some strength in the PRT pipeline and kind of some early ones in Q4. Maybe it’s actually a question for Tony, but could you just discuss the current capital at FG? Is that enough to support the opportunity you’re seeing? Or could there be need opportunity for another capital infusion from FNF?
Chris Blunt: Yes. No, we’re pretty comfortable managing the sales growth that we have without requiring an equity infusion from FNF is the short answer. We did do about $800 million of PRT transactions in October. So through 10 months of this year, we’re over $2 billion now of PRT sales. But we run the business with the intention of being capital self-sufficient.
Mark DeVries: Okay. Got it. And just one more quick one. Any impact on Q4 closings from the hurricanes?
Mike Nolan: There would be some. It’s Mike, Mark. I would say we’ll have some impact, particularly in our Florida direct market. I don’t think it will be significant. It could be a magnitude of maybe $1 million in revenue a month for a couple of months, but I don’t think it’s anything of significance as we think about the quarter.
Mark DeVries: Got it. Thank you.
Mike Nolan: Thanks.
Operator: Thank you. [Operator Instructions] The next question is from the line of Bose George with KBW. Please go ahead.
Bose George: Hey guys. Good morning.
Mike Nolan: Good morning.
Chris Blunt: Good morning.
Bose George: Can you talk about the first nationwide acquisition? How meaningful is that in terms of what it could do for you guys in the office market?
Mike Nolan: Yes, good question, Bose. I would say it’s another acquisition in the agency space, like we’ve done all along, these are not major acquisitions. You’re talking agencies that we’re buying that may have generally $10 million to $20 million in revenue. They’re a very well-established player in the New York market, very well known there, and we’re excited to have them join the team and really just give us another brand to kind of build upon. And I think as the New York market comes back, and it will it’s just a matter of when, that acquisition will really pay off for us just to have another group there that’s accessing market share in the New York market.
Bose George: Okay. Great. Thanks. And then actually, 1 question just on the post-election landscape. Just with the changes that are likely to happen, I mean the – like things like the GSE, the FHFA pilot and the CFPB efforts, do you think things are likely to get put on hold? Or any sort of updates and thoughts post election?
Mike Nolan: Yes. It’s hard to know for sure, Bose. But I think most people think with the Republican administration, it will be maybe a less – less owners regulatory environment overall. And I think that will be helpful to businesses. And so there may be less impetus to push behind things like this waiver pilot, which got awfully quiet as we went through the year anyway, probably in anticipation of the election. But we’re not taking anything for granted. We continue to work very hard with all stakeholders on the value of Title insurance and why we think things like waiver pilots are bad ideas, but it’s probably a little bit better environment overall on that kind of a front with this new administration.
Bose George: Okay. Great. Thanks.
Mike Nolan: Thanks.
Operator: Thank you. Ladies and gentlemen, that was the, sorry, and this conclude our question-and-answer session. I will now turn the conference back over to CEO, Mike Nolan, for closing remarks.
Mike Nolan: Thank you. We are very pleased with our overall performance. The Title segment is outperforming in the current market, poised for a rebound in transactional levels, and we are continuing to build and expand the business for the long term. Likewise, F&G has many opportunities ahead to drive asset growth, deliver margin expansion and generate accretive returns. As you can see, both businesses are executing well in the current market and position for longer-term growth. Thank you for the time this morning. We appreciate your interest in FNF and look forward to updating you on our fourth quarter earnings call.
Operator: Thank you for attending today’s presentation and the conference call has concluded. You may now disconnect. Thank you.